Operator: Good day, and thank you for standing by. Welcome to GE HealthCare Technologies Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand is raised. Please note that today's conference is being recorded. I will now turn the call over to your speaker host for today, Carolynne Borders. Please go ahead.
Carolynne Borders: Thanks, Operator. Good morning, and welcome to GE HealthCare Technologies Inc.'s Fourth Quarter and Full Year 2025 Earnings Call. I'm joined by our President and CEO, Peter Arduini, and Vice President and CFO, Jay Saccaro. Our conference call remarks will include both GAAP and non-GAAP financial results. Reconciliations between GAAP and non-GAAP measures can be found in today's press release and in the presentation slides available on our website. During this call, we'll make forward-looking statements about our performance. These statements are based on how we see things today. As described in our SEC filings, actual results may differ materially due to risks and uncertainties. With that, I'll hand the call over to Peter.
Peter Arduini: Thanks, Carolynne. Good morning, and thank you for joining us. As I look back on our performance in 2025, our third year as a public company, I'm incredibly proud of the meaningful progress that we're making on our innovation renaissance to deliver for our customers and improve patient lives. In the fourth quarter, we delivered strong financial performance above our expectations. This included double-digit organic revenue growth in pharmaceutical diagnostics and mid-single-digit growth in imaging and advanced visualization solutions. We delivered strong bottom-line and cash performance in the fourth quarter, excluding tariffs. The overall capital equipment environment remained healthy. Demand in the US and EMEA remained strong. In our recent US customer survey, we saw an increase in the number of large customers that plan to invest in capital equipment in 2026. We secured multiple large agreements in the quarter and extended several others. A great example is our seven-year agreement with the University of Rochester Medical Center to advance diagnostics and precision medicine. This collaboration crosses every aspect of our enterprise. From AI-enabled imaging equipment and radiopharmaceutical production to system-wide patient monitoring solutions and services. In November, we announced the planned acquisition of IntelliRed. We expect this will accelerate our fully connected cloud-first imaging ecosystem by adding digital tools and SaaS offerings that enhance clinical operations, drive recurring revenue, and enable more personalized patient care. As a reminder, in the first full year of ownership, we expect IntelliRed revenues to be approximately $270 million, which is growing in the low double digits, with an adjusted EBITDA in excess of 30%. Finally, we advanced Heartbeat, our proprietary business system, which we implemented midyear as the next step in our lean journey we started a few years back. And I'll talk more about this shortly. Moving to 2025 highlights on slide four. We made meaningful progress across the three pillars of our strategic framework. Let's start with precision care. With diseases becoming more prevalent, complex, and chronic, the need for integrated solutions has never been greater. As the only diagnostic imaging company with a full portfolio of contrast media and radiopharmaceuticals, we differentiate ourselves with our D3 strategy. We bring together smart devices and drugs across disease states enabled by digital AI and cloud to help support earlier, more accurate diagnosis and ultimately therapy delivery. Our three-year vitality rate for new products is strong at 55%, up approximately 5% from our prior year. Recall, this means 55% of our revenue is coming from new products. This reinforces that we're delivering the right offerings for our customers. We're making solid progress on our launches. For example, our Omni Total Body Pet and NexGen spec are commercially available in Europe, strengthening our position in diagnostics. Our regulatory timelines for products we announced at RSNA are all on track, including Photonovo Spectra Photon Counting CT and Cigna MR with Freelance. Additionally, customers have great things to say about VividPioneer, our most advanced cardiovascular ultrasound system, which has been contributing to strong growth in AVS. And Forcado for myocardial perfusion, both of which are currently in the market. We're pleased to report that our Flaccato ramp has been progressing well. You may recall at our last earnings call that we said we're going slow to go fast to help ensure customers have a high-quality experience. And that starts with being able to deliver doses consistently. I'm happy to say we're starting the year with our CMO partners more consistently operating at approximately 95% on time to delivery to meet customer demand, which allows us to begin bringing on more patients. In the week ended January 23, we delivered 220 doses of FERCATO. And we expect the weekly dose rate to continue to increase throughout the year. These improvements allow us to onboard more customers, and we've been making solid progress in reducing the cycle time to activate a new customer. Overall, the customer experience with FERCATO has been quite positive based on its many advantages. Also, recently, the American Society of Nuclear Cardiology recommended PET as the preferred imaging modality over SPECT, the current standard of care, reinforcing a meaningful shift towards PET and nuclear cardiology. As I stated before, our confidence in our ability to deliver $500 million or more in Vorcado revenue by year-end 2028 remains intact. And in the long run, we see a billion-dollar opportunity for this novel molecule. Turning to our second pillar, we accelerated growth with more than $7 billion in enterprise deals globally since our spin. For example, we entered 2025 with one of the largest collaborations, Sutter Health. In addition, we signed a multiyear agreement with the Ministry of Health in Indonesia, where we have installed more than 300 advanced CT scanners in urban and remote hospitals. Many of these deals have a service component that delivers strong recurring revenue with attractive margins. In 2025, our service business grew mid-single digits. With the launch of many new advanced products, we would expect our capture rate of service agreements to increase in the future with all the new wave of innovation entering the market. We're also executing on our disciplined capital allocation strategy with tuck-in acquisitions like Neon Metaphysics and Eichometrics, and our planned acquisition of IntelliRed. These transactions elevate our portfolio and are expected to drive recurring revenue and supplement top-line growth and profitability. Turning to business optimization, our third strategic pillar. We continue to advance our business system Heartbeat to improve the customer experience and drive productivity to deliver margin expansion. Our teams accomplished this by remaining focused on helping clinicians provide care for patients, delivering greater value for customers and shareholders. We're gaining momentum with our clinical and solution selling strategy in EMEA, with several multimodality deals, including a twenty-year collaboration with Nuffield Health, the UK's largest healthcare charity. The combination of our differentiated portfolio, our team's deep expertise across disease states, and best-in-class services sets us apart with our customers globally. Turning to slide five. Underpinning our execution is a step change in how we run the company, anchored in key metrics around safety, quality, delivery, cost, and innovation, or SQDCI. Heartbeat is about driving the right leadership behaviors, culture, and KPIs supported by disciplined processes and tools for problem-solving and continuous improvement. Think of Heartbeat as the steady pulse that ultimately runs through our organization to deliver results. An example of where we've deployed Heartbeat in the back half of 2025 was related to a key priority to improve past-due backlog, which relates to site readiness or our ability to deliver product. Heartbeat provides a structured approach to problem-solving by eliminating steps, improving information flow across the value stream from our plants all the way to the customer. We increased visibility to orders to help ensure timely delivery, strengthened alignment with our factories, and improved how we manage customer site readiness. Because of this, we were able to drive an average monthly improvement of 25% in past-due backlog versus the prior year, ultimately translating into improved sales and cash conversion in 2025. It's early days, but we're building our Heartbeat muscle and already seeing the impact. I'm excited about the progress our teams have made to date. With that, I'll turn it over to Jay to discuss our financial results.
Jay Saccaro: Thanks, Pete. Let's start with our financial performance for the fourth quarter on Slide six. We delivered revenue of $5.7 billion, which grew 4.8% organically year over year, exceeding our expectations. On a reported basis, product revenue grew 7.9% and service revenue grew 5.5%. In the quarter, orders growth was 2% following 5.6% growth in the year-ago period. We exited the quarter with a record backlog of $21.8 billion, which grew $2 billion year over year and $600 million sequentially. We delivered a book-to-bill ratio of 1.06 times. Adjusted EBIT margin was 16.7%, down 200 basis points. Margin was negatively impacted by approximately $100 million in tariff expense as well as unfavorable mix. This was partially offset by volume and price. Adjusted EPS was $1.44 per share, down 0.7%, including approximately 17¢ of tariff impact. Excluding this impact, adjusted EPS grew 11%. Lastly, free cash flow was $916 million in the quarter, up $105 million, which included an approximate $90 million tariff impact. Turning to our full-year results on slide seven. We made excellent progress in 2025, supported by strong end markets, particularly in the US and EMEA. This enabled us to deliver revenue of $20.6 billion with organic growth of 3.5%, ahead of guidance. On a reported basis, product revenue increased 4.5% and service revenue grew 5.6%. For the year, organic orders grew in the mid-single digits. We recorded record backlog, and book-to-bill was solid at 1.07 times. 2025 adjusted EBIT margin of 15.3% declined 100 basis points versus the prior year, and adjusted EPS of $4.59 grew 2.2%. Full-year results included a tariff impact of approximately $245 million to EBIT and 43¢ to adjusted EPS. Excluding these impacts, adjusted EBIT margin would be up 20 basis points for the year, and adjusted EPS would grow 12%. The improvement was driven by volume and price. Turning to margin performance on Slide eight. Mitigating tariff impact is another example of Heartbeat in action. For example, we enhanced manufacturing flexibility by shifting a PETCT line from the Middle East to the US and a surgery line from Asia to the US, leveraging existing infrastructure. We also partnered with large vertically integrated contract manufacturers to reposition production within their global networks to more favorable geographies. This is a clear proof point of how Heartbeat enables execution, accelerates change, and delivers measurable results. We're pleased with the work our teams are doing to drive operational efficiency, productivity, and SG&A optimization. At the same time, we deployed more than $1.7 billion of innovation investment in 2025. We're doing this in a targeted way, prioritizing programs that strengthen our competitiveness and support durable, profitable growth. Let's move on to segment performance, starting with imaging on slide nine. Organic revenue in the quarter was 5.3% versus the prior year, driven by strong execution in EMEA and the US, particularly in nuclear medicine. Segment EBIT margin benefited from volume and price but declined year over year due to tariff pressure. Imaging margin was accretive excluding tariffs, and EBIT margin improved sequentially as a result of continued operational rigor. Overall, we expect to continue to grow this business through large enterprise deals and new product launches. Turning to Advanced Visualization Solutions on slide 10. Organic revenue for the quarter was up 4.2%, with continued strong performance in the US and EMEA. New product adoption across the portfolio also contributed to revenue growth. EBIT performance was driven by volume growth and productivity gains, offset by tariffs and inflation. EBIT margin increased excluding the impact of tariffs. We've seen progress driven by NPIs with growth in surgery, cardiovascular, and women's health. Key introductions like Vivid Pioneer are strengthening our leadership in cardiovascular ultrasound. Looking ahead, our roadmap is focused on differentiated data-driven technologies to accelerate recurring revenue. Turning to patient care solutions on slide 11. Organic revenue improved sequentially, with restoration of shipments from the third-quarter product hold. Organic revenue declined 1.1% versus the prior year due to a decline in life support solutions. EBIT margin improved 530 basis points sequentially, driven by volume recovery from the product hold, but declined 380 basis points year over year largely due to unfavorable mix and tariffs. Our monitoring transformation remains on track, driven by digitally integrated NPIs that enable improved clinical decision support and workflow management as well as large commercial agreements. Looking ahead, we are also confident that our cost productivity funnel and structural optimization actions position PTS for profitability improvement in the future. Moving to pharmaceutical on Slide 12. We delivered another strong quarter with organic sales growth of 12.7%. This was driven by global growth in contrast media, pricing execution, and adoption of our US radiopharmaceutical NPI portfolio. EBIT grew 10%, and sequential margin expanded 20 basis points. While margin declined 330 basis points year over year due to ongoing planned investments in NPIs, along with the Nehan Metaphysics acquisition. We're executing our strategy and expect continued robust growth driven by global demand for contrast media and radiopharmaceuticals for PET imaging. Now let's look at cash performance and capital deployment on slide 13. For the year, we delivered free cash flow of $1.5 billion. This included approximately $285 million tariff impact. Free cash flow conversion was 72%. Reinvesting in innovation and organic growth is a top priority. This is translating into a differentiated product portfolio that we expect to improve our competitive position globally. We also look to deploy capital inorganically, as evidenced by the seven acquisitions we've closed since spin. We're pleased that we've also been able to deleverage the balance sheet and solidify our investment-grade credit ratings. During the year, we returned capital through our dividend and new share repurchase program, which was authorized by our board in April. Since that time, we've repurchased $200 million in shares at an average price of $71. We continue to demonstrate conviction that our business strategy will drive meaningful shareholder return over time. Let's turn to our outlook on Slide 14. For 2026, we expect organic revenue growth of 3% to 4%. We've taken a prudent approach to this guidance, which reflects a healthy capital equipment environment and continued commercial execution while factoring in a cautious outlook on China. Relative to foreign exchange, we expect the benefit to revenue to be approximately 150 basis points for the year. Adjusted EBIT is expected to be in the range of 15.8% to 16.1%, reflecting 50 to 80 basis points of expansion. We continue to expect the impact from tariffs in 2026 to be less than 2025. We plan to continue our tariff mitigation actions in 2026, including supply chain shifts, product transfers to more tariff-efficient geographies, and expansion of duty-free USMCA efforts. Our adjusted effective tax rate is expected to be in the range of 20% to 21% for the full year. On adjusted EPS, we expect to deliver a range of $4.95 to $5.15, representing 8% to 12% growth. Lastly, we anticipate free cash flow of approximately $1.7 billion for the full year, representing growth of 13%. For the first quarter, we expect year-over-year organic revenue growth to be in the range of 2% to 3%. While we expect to see the largest tariff impact in the first quarter of the year, given the timing of the 2025 policy changes, we still expect mid-single-digit adjusted EPS growth driven by an increase in volume. For the first quarter, recall that we had particularly strong orders growth last year supported by a strong US market, along with the initial booking of a large enterprise deal. As Pete mentioned, we've got a robust pipeline of NPIs upon clearance, and we expect these to drive future orders growth beginning in 2026. With that, I'll turn the call back over to Pete.
Peter Arduini: Thanks, Jay. In conclusion, we entered 2026 with strong momentum. As part of our ongoing commitment to innovation, we're proud of the demonstrated progress in our pipeline of new products. We are deploying our business system Heartbeat across the enterprise to drive top and bottom-line growth. We have significant opportunities in large, resilient end markets, a record backlog, and are accelerating innovation both organically and inorganically. We also see a solid runway for additional margin expansion over time. Lastly, I'd like to recognize our colleagues worldwide who have navigated a dynamic environment while remaining focused on delivering for our customers and patients every day. With that, we'll open up the call for Q&A.
Operator: Thank you, Peter. I'd like to ask participants to please limit yourself to one question and one follow-up. Operator, can you please open the line? Thank you. Question, you will need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, simply press 11 again. Please stand by while we compile the Q&A roster. Now first question coming from the line of Matthew Taylor with Jefferies. Your line is now open.
Matthew Taylor: Hi. Thanks for taking the question. I did want to ask first for a little bit more color about the 2% order growth. If you could talk about the composition of that and just the outlook for orders and book-to-bill as you look into 2026, given now trailing twelve-month orders in kind of the mid-single-digit range, what are some of the puts and takes I guess, what are some of the headwinds and tailwinds for orders next year?
Peter Arduini: Sure. Matt, thanks for the question. So we were actually pleased with the order book performance in the fourth quarter. And as I've said in the past, when we think about the health of the business, we really look at three different areas. We look at book-to-bill, which was 1.06 times in the fourth quarter, 1.07 times on a trailing twelve-month basis. So robust book-to-bill. We look at the backlog. The backlog sits at a record level. It was up $2 billion year over year. And then finally, we look at the order growth rate. Now when we look at orders, we do look at it in a couple of different ways. We look at the trailing twelve-month as you pointed out, solidly in the mid-single digits. And we also look at a kind of two-year comparison, two-year compounded growth or stacked growth to eliminate some anomalies there. And, again, this gets us to about 4% in the quarter. So we feel pleased with the order backdrop. And then as we look to next year, a few things are gonna happen. Now first, we'll have a difficult comp in the first quarter of the year related to the Sutter deal and some of those bookings. Then as we move through the rest of the year, we'll start to see the benefit of many of the new products that we highlighted at RSNA start to come into the order book. So we're really gonna see a bit of an acceleration as we approach the second half of the year, versus early in the year. We think this is a really good setup for '26. But, you know, as we think about sales impact, we start to see a great sales impact in 2027. Pete, anything to add?
Peter Arduini: No. Just to the point that you mentioned, Jay, for '26 this year, with all the new products we launched in Q4, it's not untypical. You know, we have we're on track to all of those approvals. But until we have those approvals, we can't take an order on this. And once we get that approval, the orders will come in and ramp up rather quickly. And if you recall, you know, there's nine products that probably are the nine biggest ones. We got in the last decade. So all of those have, you know, $100 million plus type capabilities in growth. So once we get the right global regulatory approvals, we'll be able to start bringing those into the order book. So from that standpoint, the size of our backlog, I mean, we feel very good where we're positioned here as we start.
Matthew Taylor: Great. And as a follow-up, can I ask a question on Fortetto? It's my favorite topic. So just wanted to get more color on the current state of supply, how things are going with the big partners that you signed, the kind of reception that you're getting from facilities adopting Mercado into existing Rubinium or SPECT workflows?
Peter Arduini: Yeah. No. Look. I think, you know, broadly, as I mentioned in the prepared remarks, we feel really good about where we are with Arcado. The feedback, what's always so important here is how do clinicians feel about this product and making a difference in the diagnosis of a patient. And it is unanimous on the feedback relative to what we're hearing, relative to the image quality, the specificity, the sensitivity that it brings, and then also, ultimately, the convenience that it will bring to people that just can't ultimately have a generator on-site. So it has all of those capabilities. That being said, the process to implement is different. And so you know, the thing that we talked about in our last call, I mentioned it here in the comments, we're consistently delivering the doses as a critical item for us to focus on. To provide the best experience. Because, again, if that doesn't show up that morning, that's a missed patient. So we really, you know, throttle back how many patients and customers we would bring on until the what we call OTD, on-time delivery, is at a 95% rate. And we're roughly in that rate. So, you know, you heard the numbers that I talked about. You know, January, you know, roughly 220 was kind of what the weekly number was. I think we said on January 23. The important part then is now that we have that CMO level, we can continue now to be able to increase that level. And so we would expect that the doses will go up each of the following weeks. So I think that's the really important part here in that that consistency is key. We'll be bringing on more CMOs to go into more geographies. And specifically to your point, you know, with the CVA, CDL, two of the biggest players really in North America here. We're on the go slow to go fast, but I think both of those, we have great relationships. They see the potential. They see the opportunity to continue to expand. And so we feel very good about where we are at this point in time.
Matthew Taylor: Great. Thanks for all the color.
Operator: Thank you. Our next question coming from the line of Robbie Marcus with JPMorgan. Your line is now open.
Robbie Marcus: Hi. Thanks. This is Alan on for Robbie. Just to start off, can you talk through some of your assumptions for China and how we should think about potential upside when it comes to EPS versus street expectations as well?
Jay Saccaro: Okay. So I think we got two questions here. One on China and then EPS. And I think that's related to 2026. The you know, from a from a China standpoint, really, this has evolved broadly in line with our expectations. We previously commented that the second half would be worse than the first half. And we also anticipated that the fourth quarter would be the most challenging quarter of the year largely driven by prior year growth. So I would say all of that kinda came in line with our expectations. While we feel very good about the progress that our team is making in China, and we are seeing some improvements in things like VBP win rates, we're also seeing a more robust imaging funnel and some tender wins there. You know, we really wanted to take a cautious approach to China when we put together this guidance. And so in our 3% to 4% total company guidance, we're anticipating a decline in China in 2026. You know, we'll watch this as we move throughout the year. But, again, we wanted to take a prudent approach at this point. And then let's see how things evolve. Pete, anything to add to this?
Peter Arduini: I would just say, look. I think it's a good perspective on how we're thinking about China early in the year as this prudent approach. We're seeing improved commercial execution. I think Will and his team have pivoted to focus more on how we think about provincial interactions as well as the clinical selling. And so just to kinda give you a little bit proof point why we feel good about the progress is, Jay mentioned the VVP tender win rates. I know, you know, you've heard from us. You've heard from others that some of the tenders and are being disputed, which lengthens them out. Before orders are issued. But we have good insights into those ones we want. Which aren't converted to orders yet. And so we know that our rate in the last six months versus the prior twelve we're doing better. And then we would expect as those orders become issued through those tenders that later Q2 and beyond we'll start seeing some of that coming through. All that being said, I think what Jay talked about is we're taking a prudent approach when it comes to China. And, obviously, if things come through at a stronger level, that will be an upside to us. But as we enter the year, I think we're coming in at the right spot.
Jay Saccaro: And then I think you said well, can you confirm you're asking about 2026 guidance? Is that the question?
Robbie Marcus: EPS? Yeah. Just, you know, how you got to the range, why this is the right range.
Alan: Start off the year, and, you know, how you see upside to the initial targets.
Jay Saccaro: Okay. No. Listen. Thank you. I just wanted to make sure. So as we think about the EPS guidance for 2026, maybe we pause for a second on 2025. One of the things I think our team was really proud of the ability to deliver 2% EPS growth despite a 43¢ tariff headwind. And so the result of that is we saw about 50¢ of EPS growth in 2025. You know, we were able when tariffs hit, we took action not only to reduce tariff exposure, which is something we spent a lot of energy and effort on, but we also did some self-help cost management across the business. And we saw some performance from our Heartbeat business system help improve our operating margins and reduce waste, cost productivity, etcetera. So all of that was contribute all of those things contributed to a solid performance in 2025. Now moving to 26, we're gonna see many of those things resulting in positive impacts in our numbers again without the hopeful without the drag of incremental tariffs because now tariffs are neutral to positive to our financial performance. The other thing that happens in 2026 is we start to see some benefit from new products. Although that will be more predominant in 2027. But things like Florkado, things like some of our AVS launches will impact performance on sales. In the second half of the year. And hopefully, we'll see that impact. So as we think about the growth in EPS, in 2026, at the midpoint of the range, it's about 45¢. And as we think about the drivers of it, about 30¢ will come from volume growth. About 30¢ will come from cost and productivity initiatives that we have. And then we'll offset that with continued investments in growth. For us, we're very focused on SG&A investments to drive acceleration in sales performance. We did spend in the fourth quarter to start to set that up, we'll spend next year as well along with R&D. We think these are really crucial to the mid and long-term growth of the company. So we'll continue that. That's really the complexion of how we deliver on the EPS expansion next year.
Alan: Jay. And then if I could just slip it Thank you.
Operator: Our next question coming from the line of Larry Biegelsen with Wells Fargo.
Larry Biegelsen: Hey, good morning. This is Vic in for Larry. Thanks for taking the questions. Two for me. I guess your organic growth guidance of 3% to 4% implies 3.5% at the midpoint, which is what you did in 2025. Jay, I think you've said before that you expect to grow faster in 2026. So maybe just talk about why the mid of the '26 guidance is in line with 2025? And then I had a follow-up.
Jay Saccaro: Yeah. Big thanks. Okay. Thanks for the question. So on the last earnings call and at JPMorgan conference, we kind of highlighted we expect to grow sales in 2026 faster than 3%. Now we expect you to grow sales in 2025 at 3%, and we did better than that. So we were pleased with that performance. But, you know, this is very consistent with what we shared. And we feel good about the guidance to start the year. Remember, at the start of last year, we guided two to three and we ultimately did a little bit better than that based on commercial execution and some of the early success in our innovation cycles. As we start this year, you know, I'll point you back to, you know, the $2 billion increase in total backlog. I think that's a great setup to support our sales growth. And a lot of this revenue outlook is built on a strong secured backlog that we have in place. We feel very good about the backlog that we've been able to develop over the last several quarters. We feel very good about the orders funnel that we have in place. So all of that sets us up well as we approach 2026. And then, also, as I just commented, you know, we're taking a pragmatic view on China. We want you know, we're watching this market very carefully. We've taken a, you know, conservative approach here. Let's see how this plays out. So it's early in the year. I think, you know, there's a lot of good momentum that our business is building. And we'll and we'll watch things very carefully. Pete, I don't know if you wanna add anything.
Peter Arduini: I think you covered it, Jay. But, I mean, the way we're set up here is, obviously, depending on when approvals come some of the new products, our ability to convert backlogs, the ability ultimately to be able to convert some of the acquisitions that we've had now that will start to roll into organic growth, all of those position us well here for the year. So I think, again, as Jay laid out, I think it's the right place to start for the year. And, you know, we're gonna be leaning in to be able to deliver.
Larry Biegelsen: Thanks for that answer. A quick follow-up for me. Can you maybe talk about the timing of both orders in sales for photon counting and some of the other NPIs that you've highlighted? Thank you.
Peter Arduini: Yeah. No. Thanks. You know, as we've made in my remarks here just a few minutes ago, our timelines for all of those significant launches are on track we introduced at the RSNA. And we expect those to have you know, the biggest meaningful contributions in '27, mainly because the order cycle typically is six to nine months when you get the order you know, you have many of these have to be installed within a site. That being said, you know, much of these will have an impact at some point later this year. Which we're very excited about. And, you know, as we're out with customers and stuff, there's just a lot of buzz about that pipeline that we have out there. And so, you know, things like the Alia Moveo, which is our vascular system, that now is fully approved both by the FDA and CEO. It's really our first interventional vascular system of a modern design in quite some time. We're excited about the growth that that's going to bring forward. The Omni Total Body Pet CE Mark with two installs within Australia, and then we also have a European installation. So great feedback that we're gaining. Our Starguide GX, which is the advanced system, for doing alpha as well as beta imaging is CE Mark and we're gonna be doing our first installs here quite soon. And then things such as MR with was the Sprint, Freelium, and the Bolt all of those are under review and making good progress. Christina making good progress. As well as CareStation. On Fotanova, all systems go. I mean, we're lined up. You know, we'll see how the approval timelines ultimately play out for us but we're in very good shape. Manufacturing teams getting everything ready to be able to advance that product. But I'm very proud of our engineering and manufacturing teams that have really come together. When we talk about our business, we talk about this SQDCI. And safety of our folks, safety for patients, quality of the products, getting the delivery commitments, the right cost, then gives you the right to bring innovations out to the marketplace. And that's really the philosophy that we put in place here. So feeling quite good about it. You know, this business is so much about innovation. And I think we've got the right seats in place here to set us up well, not only later this year, but ultimately into '27, '28 for our midterm targets.
Operator: Our next question coming from the line of Ryan Zimmerman with BTIG.
Ryan Zimmerman: Thank you, and congrats on the year. You know, on that point, Pete, on midterm targets, I guess I'll ask the question now, which is with the midterm targets being mid-single-digit rev growth, high teens to 20% up to EBITDA margin, etcetera. Just maybe you can kind of bridge us, I think, in terms of the twenty-sixth guide to those medium-term targets and kinda how you see that progressing over the next few years?
Jay Saccaro: Wanna take a shot at it? Yeah. Sure. Look, we feel good about the midterm targets that we've put together. I think you know, one of the things that this year is a setup. But as we move to next year, you start to see the real benefit from many of the new products we launched at RSNA. We expect those products along with Orcato to help drive one to two points of additional sales growth. The medium term. And then, you know, from a margin expansion standpoint, you know, we're pleased to get back to reasonable margin expansion, 50 to 80 points. Is more reflective of what a normal year should look like. But with Heartbeat helping us to deliver higher margin NPIs, to improve productivity to optimize SG&A, you know, we expect to deliver on our high teens to 20% plus margin targets over the medium term. So all of this will flow down to EPS, and we'll continue to see this high single to low double-digit growth. So in short, we feel solid. Pete?
Peter Arduini: Yeah. And then, Ryan, just to the point, I mean, we're committed to those midterm targets. Top and bottom, full stop. I think you know, we realized that the tariffs kind of moved us back a year or two just based on that's why we really started aggressively last year with moves, with changes, things of that nature that would make a significant difference. Because our goal ultimately is to neutralize as much of that as possible. To move us obviously into that 17 to 20% plus EPS range. And hopefully, you see from even the guide this year that we put out there we've made good progress from what we've done last year. And I think our focus on our all our NPIs having higher gross margins than their predicates with the right selling and lift to that, we'll see the benefit as well as the corresponding service revenue that comes with it. All of that together you know, is gonna be very important for us, not only for our top line, but also to be able to deliver on our medium-term profit goals as well.
Ryan Zimmerman: And, Pete, it's like you're anticipating my next question here. The RPO and the, you know, specifically, service RPO was up really well. And, you know, I'm just wondering if you can kind of elaborate on kind of the composition of service revenue, you know, and how as that becomes more predictable, you know, we can see that start to flow through, you know, particularly in the guide. You know, if I think about the midterm, you know, the three and a half percent you know, this year or whatever it may be, I mean, you know, if your service revenue and your service IPO is just becoming that much more predictable with IntelliRed and other things, I mean, just help us understand kind of what that looks like as a percentage or a composition of your broader revenue and maybe moving away from, you know, lumpier capital sales?
Jay Saccaro: Yeah. We've talked extensively about our goal to expand recurring revenue. And so we're definitely pleased to see service growth. And then to your point, the Intellirad deal is another example that starts to tilt us more to recurring revenue. Services was a bright spot for us. Have to say in the fourth quarter, and in 2025, we grew sales 6%. With growth driven by both price and volume. And, you know, the reality is as we continue to expand our enterprise agreements, they typically include a meaningful multiyear service elements. The other thing that's happening is, you know, we have a growing installed base. And because of the complexity and technology embedded in our products, and because of advancements that we're making in how our service offering is delivered. Things like AI remote fix, we're seeing improved capture rates on our service business, which is a really important metric for us. And so all of that is good. And then the other thing that's happening Ryan, is we're seeing utilization based on procedures of our equipment. And when that happens and departments are constrained, and equipment is used heavily, the need for service is there. So I think there's a whole set of dynamics that are supporting continued robust growth in our service business. And, you know, our team is ready to support that. Pete?
Peter Arduini: Yeah. And, Ryan, I think you alluded to this just off the new products piece. There is a flywheel effect as you bring new products out. You bring new products out that are very sophisticated, AI-based, cloud, you know, the capture rate on the service contracts typically goes up. Mainly because they're such a sophisticated product. And a product like Total Body Pet or something like photon counting where the actual price of the product is higher than a lot of the predicate products. So is your service contract. With margins that would be at that same level. So that's some of the tailwind that we think ultimately will come along with it. It's a really important part of a sustainable revenue and profit story as well over the long run.
Ryan Zimmerman: Appreciate it. Thank you.
Operator: Thank you. And our next question coming from the line of Anthony Petrone with Mizuho Group. Your line is now open.
Anthony Petrone: Thanks. And maybe I'll stick with some of the inputs into the top-line guide to 3% to 4%. Maybe one will be on just, you know, how much price is actually in there just considering you have a fair amount of new product introductions this year versus last year. So do you think about price in 2026? And Pete and Jay both brought up IntelliRed, it came up on the last question. You know, $270 million growing low double digits, 30% margin. Maybe just a little bit timing of that deal close. And just the drivers of that business, like how many sites outpatient are live on day one, is opening new sites or just new users sort of the growth KPI that we should be looking for? Thanks.
Peter Arduini: Thanks, Anthony. Look. On price, I think from an order book standpoint with the new products, you know, some of it will show up in mix. But and for like-for-like products like for like product price, as well. But I think, you know, a lot of that will first be seen in the orders book as those new products come out. Relative to this year in revenue, we don't have any significant step-ups in price. We have price advancement this year. I think based on as the tariffs are settling out and we see how the global to plays, there could be an opportunity for more price later this year. That'll be something that we'll be taking a look at. But I think as we enter the year, we don't have any major step-ups in it from a like-for-like product. It is important, and I think you're alluding to this, all of the new products that are coming out you think about their category that they're in, we'll have quite a step up in many cases in price, I think our Vivid Pioneer, which has been quite successful, we launched earlier this year, has not only a better cost position, it also has a nice step up in price, hence then translation into better gross margin. So more to come, and we're gonna keep an eye on the marketplace make sure that, you know, we appropriately gather the right pricing for the products that we're bringing out. I guess the next question you had was on IntelliRed. Jay, maybe you wanna us off on IntelliRed.
Jay Saccaro: Yeah. Sure. Maybe I'll share some elements, and then, Pete, you can add. We're very excited about the IntelliRed acquisition. We do expect that to close in the first half of the year as planned. There's some really nice elements. The combined company advances our cloud-enabled AI solutions in both radiology and cardiology. So really and then also extends our capabilities across the outpatient network. So we feel really nice about this, and we're on track to close it. Along the lines of our expectations. As we think about the financial components of the deal, we haven't incorporated that in our guidance. What we've said is it would be slightly dilutive, but we expect to offset that with cost efficiency. So what will happen when we do ultimately close the transaction is we will see an increase in interest expense, an increase in EBITDA attached to the company. There will be a revenue impact, but we'll be able to offset to make it neutral for the remainder of the year. So overall, that's really the status on the deal. Pete, anything else you'd like to highlight from strategy?
Peter Arduini: I think just the standpoint of these are the type of deals that we think make a lot of sense for the company. Relative to a strategic fit for us. The enablement of artificial intelligence to be deployed at an enterprise level, both in patient and outpatient, we know the future of diagnosis is much more the integration of multimodalities and how they're read. And so having a critical platform such as this will be super important for us. And then I just think from a deal complexion standpoint, accretive to top line, accretive to bottom line, fit strategically. These are the type of tuck-in deals that we're obviously looking at. We're excited to have the Intellirad team a part of the family. It's a group of great individuals and we're excited to get this one here closed. And in the first half.
Anthony Petrone: Thank you.
Operator: And our next question coming from the line of Joanne Wuensch with Citi. Your line is now open.
Joanne Wuensch: Good afternoon, and thanks for taking the question. I'm sort of asking this of everybody early in the season, which is can you sort of give a state of the union on medical technology and what you're seeing? And, specifically, if you could share some comments or thoughts on the hospital CapEx environment and any impacts you may be seeing or expect to see on changes to the Affordable Care Act. Thank you so much.
Jay Saccaro: Great. So, you know, the capital backdrop in the US is solid. Every quarter, we conduct a study of our top 50 US customers to really get a pulse on investment sentiment. It gives us a reasonable picture of investment plans and priorities, and we found that it's a fairly reliable survey that we conduct. What we found after completing the recent study is the US market continues to be robust, driven by customer investment, in an aging installed base. So we're seeing continued momentum on the US CapEx side. Some of that is definitely driven by strong procedure trends that we're seeing. We just finished our latest survey, and many of those customers are anticipating investment increases versus what they previously assessed. As we go over the pond, the European market has continued to improve. Over the past couple of quarters, we've seen orders recover in many European geographies. So that's another robust market. And then emerging markets, you know, really solid trends there. So I think overall, the global backdrop is pretty good. I've commented already on China. But I think it's a decent setup as we look into 2026. Pete?
Peter Arduini: Yeah, Joanne. To your question, I mean, the ACA, obviously, there's challenges for certain subsets of customers based on which patient mix is or the scenarios. But we haven't heard anything that is concerning relative to the capital environment. I think, Jay, as we survey customers, this is a critical part to it, how that's playing out. So we haven't seen anything that stood out on that. I think you'd mentioned about technologies in healthcare. I again, I do think this is one of the interesting dynamics about us and some of our other peer companies that plan this. Many cases, we are the enabler of so many breakthrough technologies, whether it be device or drug. And so with all of the new EP with all the new cardio oncology device and drugs, in many cases, we're either the early screening or planning tool or we are ultimately the helping executor of the therapy delivery. In the pharmaceutical space in particular, we play a bigger role in that, which is why in many cases, you see even as a capital environment might be tighter, our equipment typically rises to the top of the list priority because it is an enabler for profit growth within the institution. So all signs at this point look quite healthy, and we feel good about, you know, as we enter 2026 for sure.
Joanne Wuensch: Terrific. Thank you so much.
Peter Arduini: Thank you.
Operator: Our next question coming from the line of David Roman with Goldman Sachs. Your line is now open.
David Roman: Hey, PHA and Caroline. Maybe I'll just start with just trying to put some of the pieces together in Pete's comments around the order growth in potentially being impacted by the timing of new product announcements, but then why that wouldn't impact performance in 2026? Or another way, do you freeze the market in anticipation of some of these new product launches? And then I have one follow-up on China.
Peter Arduini: Yeah, David. It's less about do you freeze the market. And we'll and able particularly in a premium area, for us, many of those products, you know, particularly just take photon counting. We haven't had a predicate product. So, yes, there are some higher-end premium ones of customers that may say, hey. I may wait till it's available. But a vast majority of those are new ones. But we don't see the order coming to the order book until it's, you know, approved. So, I mean, that's some of the basic dynamics. And I think, you know, Jay talked about trailing twelve months and the stack compare. Those are interesting ways to take a look at it because, you know, we could have multiple quarters where we're significantly higher, and then we could have multiple quarters where we're below. But what's really important is that backlog growth and then how the sales come out. And, again, I think, you know, that's an important part of this. And when you saw the sales performance particularly in imaging and some of the other businesses in the fourth quarter, a lot of that is actually the work that the teams have done relative to on-time delivery and executing that more effectively.
David Roman: Okay. Very helpful. And maybe I'll switch gears from China and actually ask on Omnipaque and just the PDX business. We did see an acceleration in that franchise in 2020 in the fourth quarter, excuse me. It doesn't look like fourth Auto is probably big enough to be the contributor there. So how should we think about Omnipage? What are you seeing thus far from a competitive standpoint? On the ground? And what's kind of reflected in your guidance here?
Peter Arduini: Yes. No, I would comment and then Jay maybe you can jump in. I think, you know, Visimel, some of our other molecules as well continue to do along. I think you're correct. Based on my comments with Mercado. Not a significant contributor from that standpoint. This is where we are. Obviously, now that we have higher CMO capabilities, that kit will continue to grow. But the largest part of that business is the contrast media business. You know, we have large customers that have many, many SKU contracts with us. You know, there has been rumored discussion of new entrants coming in the area. I haven't seen anything developing at this point in time. Supply is rather tight within the industry. Just based on the players that exist. And so it's been a pretty consistent play and usually is highly correlated to procedures growth. And we've seen a pretty healthy procedures growth coming from, again, many other types of procedures in cardiology and cardi and oncology continuing to exist. So solid trends across the board there.
Operator: Thank you. Now last questioner will come from the line of Vijay Kumar with ISI. Your line is now open.
Vijay Kumar: Hey, guys. Thanks for taking my question. My first question is on guidance here, Jay. What is fiscal 'twenty-six assuming for Flurcato? And you I know you mentioned China declines with China. Q4 was, I think, down teens. So maybe some noise around there on what is going on in China.
Jay Saccaro: Yeah. So on the China story, we're anticipating so what I would say is the fourth quarter came in, broadly speaking, in line with our expectations. We knew if you look at the growth, the comparisons to prior year, we knew the fourth quarter was the most difficult comparison year over year. So we did anticipate a bit of a deterioration which was embedded when we said the second half was gonna be worse than the first half. And so, you know, to Pete's comments earlier, we're making some good commercial progress in China. But we're just gonna take a cautious approach here. We're budgeting China down. I'm not gonna get into specifics as to precise amounts, down. We're budgeting China down. That's included in our 3% to 4%. And maybe there's a scenario we do better than that. But we really wanted to take a cautious approach on China. As it relates to Floccato, you know, we shared the dose number in terms of what we performed in a week in January. I had previously said that was really a critical metric for us. How are we doing at that point? Now we have confidence, and we've started to open up the throttle. In terms of bringing on new customers and advancing those customers to higher states of maturity. So we're really excited about the product. We expect weekly dose numbers to grow. In the first year of launch, we'll periodically share information on doses. But again, given the number of products we have launching, the near term, we're not gonna give guidance on any specific product at this point. But we will share some information to help you model this over time. I can tell you, you know, based on the progress that we've made over the last couple of months, very pleased with the direction that we're going. Very pleased with the progress that our team is making.
Vijay Kumar: That's helpful, Jack. And then maybe one clarification on my math, looks like backlog grew 10% in fiscal twenty-six. And your capital book-to-bill in Q4 was something north of 1.1. Is my math correct?
Jay Saccaro: Vijay, we don't we share a book-to-bill that includes all the elements that we include with both service and PDX. So we don't comment, but I think you've done some good math. And then on the backlog, yeah, backlog was up very substantially in the fourth quarter. Really pleased with the growth there and how that sets us up for the multiyear view.
Vijay Kumar: Understood. Thank you, guys.
Operator: Thank you. And that concludes our question and answer session. Speakers, please proceed with any closing remarks.
Peter Arduini: Thank you all for joining today. We look forward to connecting with you all here in the coming weeks at one of our one-on-ones or upcoming conferences. Thanks again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. And you may now disconnect.